Operator: Good morning. My name is Kelly, and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe Fourth Quarter 2016 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I’ll now turn the call over to Peter Hill from Kekst, you may begin your conference.
Peter Hill: Good morning and thank you for joining our fourth quarter 2016 financial results conference call. Yesterday, after the market closed, we issued our quarterly release. If you didn't get a copy, please call me at 212-521-4800 and we'll make sure to provide you with one. There will be an audio replay of the call available from about 1 PM Eastern Time today through midnight on March 1st. The reply can be accessed by dialing 855-859-2056 or +1-404-537-3406. The pass code you'll need both numbers is 49123700. Today's call is also available through the investor information section of www.renren.com and will be achieved at RenaissanceRe's website through midnight on April 12th. Before we begin, I am obliged to caution that today's discussion may contain forward-looking statements and actual results may differ materially from those discussed. Additional information regarding the factors shaping these outcomes can be found in RenaissanceRe's SEC filings to which we direct you. With us to discuss today's results are Kevin O'Donnell, President and Chief Executive Officer; and Bob Qutub, Executive Vice President and Chief Financial Officer. I now like to turn the call over to Kevin. Kevin?
Kevin O'Donnell: Thank you, Peter. Good morning and thank you for joining today's call. RenaissanceRe performed well in 2016 against the backdrop of a challenging market. For the year we grew book value per share by 9.4% and tangible book value per share plus accumulated dividends by 11.4%. Also for the full year, our return on equity was 11% and our operating return on equity was 7.8%. Our results were driven by several factors, including the pricing environment in the reinsurance business, loss activity, reserve releases and movement in interest rates. By focusing on our core strengths, superior risk selection, client relationships and capital management, we executed well against a difficult and rapidly evolving market. We've strengthened our operating platforms globally develop deeper relationships with clients, brought more efficient capital solutions to market and exercise underwriting discipline in building a diverse and profitable portfolio of risk. I look forward to 2017 with confidence, knowing that our teams have all the tools relationships and capital to successfully execute our strategy. Though we continue to face challenging market conditions and evolving industry landscape and heightened macroeconomic uncertainty, our platform and team are well prepared to serve our clients. Overall, I believe the challenges of 2016 will continue into 2017. The pricing in our market continues to be pressured by capital supply increasing at a faster rate than demand for reinsurance. At the most recent renewal in general rates in property Cat were down, but the reduction was smaller than in prior renewals, driven by the same oversupply of capital and relatively flat demand. In casualty and specialty reinsurance terms are relatively flat, but we began to see some great competition in underlying books being exceeded that required careful underwriting and monitoring. Our advantage in such an environment has always been our ability our identify relatively well priced individual risks and construct an attract portfolio against the market average. Our gross portfolios are often managed and optimized as we match our risk with the most efficient sources of capital. Our ability to execute this process consistently and seamlessly has helped established RenaissanceRe a first call market for our clients. Most recently we raised additional capital in Upsilon and created Fibonacci Re, which demonstrated our ability to respond to changes in the market and deliver a more optimal solution for our clients. Partially as a result of pricing trends, we have also seen a wave of consolidation in our industry in the past few years. Consequently many of our clients have grown in size, expanded their capabilities and demonstrated a need for broader and more sophisticated solutions for the reinsurance market. We welcome this trend and view these changes as additional opportunities to serve our clients in more ways. We acquired Platinum in 2015 integrated the company quickly and develops new products on our unified RenaissanceRe platform early in the consolidation wave. Today, 40% of our clients are now served by all three of our underwriting platforms. For us, moving quickly and early and anticipating that larger clients would have new risk needs was a strategic imperative marked, but now limited to our acquisition of Platinum. We’re also operating in a period of heightened macroeconomic and geopolitical uncertainty. The new administration in the United States has signaled several changes to economic policy that could have wide ranging impacts on the insurance and financial services industry broadly. Additionally we’ve already seen interest rate volatility that has affected the results of insurance companies across a range of businesses including life and property casualty. Today our customers want to do more with us and the growth we choose to pursue will be disciplined and built around a framework of adding value to clients through underwriting. Finally I believe our reputation, experience and long track record of partnership in the capital markets will continue to enable us to source the most efficient capital that earns an attractive return for investors that provides optimal underwriting solutions for our seedings. I will provide a few more details on the opportunities we’re seeing in 2017 later in the call, but first I’ll turn the call over to Bob for a look at our financials and our new segment reporting approach.
Robert Qutub: Thanks, Kevin and good morning, everyone. As we mentioned on the third quarter earnings call we have presented our fourth quarter results under new reportable segments, property and casualty and specialty. In connection with the move to our new segments we committed to providing transparency into our Lloyds platform and catastrophe underwriting results for a period of time. This information is now provided in our fourth quarter financial supplement. In the 8-K we filed in early December we’ve provided historical underwriting results under the new segments back to 2014. We hope you found this disclosure useful and we believe our new segment presentation will provide you better transparency into how we manage and measure the performance of our business. Moving on I’ll provide you an overview of our consolidated results for the fourth quarter and full year and outline a few key themes before turning to our segment results. For the fourth quarter ended December 31, 2016 we reported net income of $69 million or a $1.69 per diluted common share and operating income of $119 million or $2.92 per diluted common share. We generated an annualized ROE for the quarter of 6.3% and an annualized operating ROE of 10.8%. Our book value per share increased 1.3% and our tangible value per share including accumulated dividends increased by 1.8%. Underwriting income was $104 million and we reported a combined ratio of 71%. For the full year we reported net income of $481 million or $11.43 per diluted common share and operating income of $339 million or $8.03 per diluted common share. As Kevin mentioned we generated an ROE for the year of 11% and our operating ROE for the year was 7.8%. Our book value per share increased 9.4% and our tangible book value per share including accumulated dividends increased 11.4%. Underwriting income for the year was $386 million with a combined ratio of 73%. As noted the fourth quarter capped off another profitable year for the company despite the moderate level of insured catastrophe losses during the year. We also experienced a rise in interest rates in the fourth quarter reversing some of the unrealized gains we booked earlier in the year. Our equity portfolio continued to perform well and partially offset the unrealized losses in our bond portfolio for the quarter. For the quarter and full year we recorded a net negative impact from Hurricane Matthew of $44 million after giving effect to the redeemable non-controlling interest in DaVinci. Now as a reminder, net negative impact includes the sum of estimates of net claims and claim expenses incurred, earned reinstatement premiums assumed and seeded, loss profit commissions and the offset by the redeemable non-controlling interest in DaVinci Re. Given the magnitude and recent occurrence of Hurricane Matthew, meaningful uncertainty remains regarding losses from this event and the actual net negative impact from this event will likely vary from this estimate. During the fourth quarter we also recorded favorable development reserve of $87 million with $67 million in our Property segment and $20 million in our Casualty and Specialty segment. Favorable development in our Property segment was driven by normal course reduced of large losses that reduced our estimates of expected ultimate losses on certain large events and a number of other smaller weather events in the U.S. from recent years. In our Casualty and Specialty segment actual reported losses came in better than expected our attritional net claims and claim expenses. Now let’s shift to our segment results begging with the Property segment followed by Casualty and Specialty. During the fourth quarter our Property segment gross premium written were up 19% relative to the fourth quarter of 2015, driven by our other property class of business. The fourth quarter generally is light in terms of renewals for our Property segment. Included in gross premium written in the Property segment for the fourth quarter of 2016 was $9 million of reinstatement premium associated with Hurricane Matthew. For the fourth quarter the Property segment generated underwriting income of $100 million and a combined ratio of 45%, impacting the underwriting result was a reduction in operating expenses and favorable development on prior accident years of $67 million as I mentioned earlier. Offsetting these items was negative impact to the Property segment underwriting results of $49 million associated with Hurricane Matthew before giving effect to the redeemable non-controlling interest in DaVinci Re. For the full year our Property segment gross premium written increased 4% over the year, reflecting growth in our other property class of business, partially offset by continued soft market conditions in property catastrophe. As a results managed Cat premiums were down 5% for the year, included in property gross premium written and manage Cat premiums for the year were $21 million of reinstatement premiums related to a number of U.S. whether events the Fort McMurray Wildfire and Hurricane Matthew. The Property segment generated underwriting income in 2016 of $363 million and a combined ratio of 50%. Included in our year-to-date Property segment underwriting results is a net negative impact of $101 million associated with losses from a number of U.S. whether events, the Fort McMurray Wildfire and Hurricane Matthew. For the fourth quarter our Casualty and Specialty segment gross premium written were down 7% relative to the fourth quarter of 2015. The main driver for the decrease in the quarter was a reduction in premiums on the credit book, which had several large multiyear deals incepting in the fourth quarter of 2015. Recall that we booked the premium on mortgage deals at inception however they tend to have a longer duration in our consequently earned over a period of 10 or more years. This book can be influenced by small number of relatively large transactions. In comparison to the decrease in gross premium written net earned premiums in our Casualty and Specialty segment were up 2% in the fourth quarter. The Casualty and Specialty segment generated underwriting income of $3 million with a combined ratio of 98% in the fourth quarter. For the full year, our Casualty and Specialty premium are up 35% from a year ago, reflecting continued growth in the mortgage reinsurance and the inclusion of Platinum results in our financials following the close of the transactions in March 2015. As we have grown our Casualty and Specialty book, we’ve increased the use of reinsurance to manage our assumed risk and enhance overall written. Consequently net premiums written in Casualty and Specialty were up 17% for the year compared to the larger increases in gross premiums written previously noted. For the full year 2016, underwriting income in Casualty and Specialty was $21 million with a combined ratio of 97%. Now turning to investments, in the fourth quarter we reported net investment income of $47 million comprise mainly of interest income from fix maturity and securities of $39 million and net investment income from our alternative investment portfolio of $10 million. Our strategic investment portfolio managed by our ventures unit record gains and we continue to be satisfied with the long-term fundamentals of the companies we own. For the quarter the annualized total written on our overall investment portfolio was about flat a negative 2% -- 0.2%. Due in large product to mark-to-market losses on our fix maturity investment portfolio as interest rate rose in the fourth quarter. Strong returns in our portfolio of public equity investments, partially offset the impact of rising rates. For the full year our investment portfolio generated a total written of 3.5% compared to 0.9% in 2015. Our investment portfolio remains conservative with respect to interest rate, credit and duration risk with 89% allocated to fixed maturity and short-term investments with the high degree of liquidity and modest credit exposures. The duration of our investment portfolio remain relatively short at 2.4 years and is consistent with recent quarters. The yield to maturity on fixed income and short-term investments was 2.1% at December 31st, compared to 1.8% at September 30th. Finally, I’d like to note that our capital position remains very strong with modest leverage and efficient access to capital through multiple sources. For the full year, we repurchased $309 million of our common shares. And looking across the spectrum of our managed balance sheet, we kept DaVinci flat, continue to raise capital on other select areas through Upsilon, Medici and our newest venture Fibonacci Re. Our capital management actions reflect a quickly evolving market and we believe we have developed a unique agility to deploy capital where it is needed most. And we remove it from areas where it is not earning a suitable return. In short, RenaissanceRe continues to match well-structured risk with the most efficient forms of capital across several balance sheets and capital sources. As we head into 2017, we are confident that our ventures team is actively building our relationships with high quality, long-term investments, as well as looking for new strategic transactions that can enhance our underwriting franchise. In closing, I would be remiss if I didn’t mentioned that since my arrival last August, I continue to be impressed with the caliber of talent at RenaissanceRe and appreciate the ongoing support throughout the organization that has ensured a smooth transmission of leadership in the finance team as we close the books on 2016. We have a deep bench, not only on the finance team, but the throughout the company. With the necessary resources to continue to provide superior customer relationships, superior risk selection and superior capital management in 2017 and beyond. And with that I’d like to turn the call back to Kevin.
Kevin O'Donnell: Thanks, Bob. I will divide my comments between our Property segment and our Casualty and Specialty segments. Starting with the discussion of the 2016 results and then moving to the January 1 renewal and opportunities in 2017. After that we'll open it up for questions. As we discussed last quarter, and as Bob mentioned, we revised our reporting segments to Property and Casualty and Specialty to give you greater transparency into how we think about our business. Our Property segment includes our catastrophe excess of loss business and other property. Included in other property, is property written on either a proportional or per risk basis. The property component of a regional multi-line business and E&S property insurance written on our Lloyd’s platform, all of which were previously reported as part of either Specialty or our Lloyd segment. I should point out that our property business is also exposed to catastrophic events although to a lesser extent than our catastrophe book. For the full year in 2016, we grew our Property segment marginally in a tough market. This growth came from our other property business, which grew significantly, although from a relatively small base. Our other property businesses predominantly written on our U.S. and Lloyd’s platforms and demonstrates how the strategic choices we have made over the last several years have developed into increased opportunities. Our catastrophe book was down year-on-year as we either reduced or exited business that no longer met our return hurdles. Any growth in this market is an achievement we are able to write more business by moving from the transactional to the strategic, increasing ties with our clients and continuing to act as a trusted advisor across multiple lines of business. We are proud to have a value proposition that extends beyond price, as our clients and brokers recognize the importance of our problem solving capabilities and our ability to match risk with capital. They also appreciated the expertise provided by our scientist at weather predict and the integrated solutions we can offer through our Lloyd’s platform and our various joint ventures to help them grow their business. Moving to the January 1 renewal my comments will primarily address the catastrophe excess of loss market as most of the renewals are in this line of business. Property rates continue to decline, in the U.S. rates were down by about 5%, rates in the international market were down somewhat more than the U.S. while retro prices were down somewhat less. The relative outperformance of retro was the result of several new programs being placed. Despite the price reductions, we grew our Property segment at January 1st this growth came across the board in both our catastrophe and other property business in the U.S. and internationally and in assumed retro. This growth was driven by both new opportunities and growth on existing lines. What is particularly rewarding is the fact that we were able to identify attractive opportunities on each of our platforms. Growth in the Property segment was augmented at January 1st by the expansion of Upsilon Re and the recreation of Fibonacci Re. And we anticipate that we will continue to help this grow over the year. If you recall last year we shrink Upsilon Re, which is our collateralized reinsurer as opportunities were limited. In 2016 we saw increased client demand and heightened investor interest for retro and we're consequently able to grow Upsilon. Fibonacci Re is our newest vehicle and has helped this bring additional capacity to Renaissance's reinsurance clients in the U.S. for more remote property risk. One new opportunity worth noting both due to its size and its potential is the NFIP Flood Reinsurance purchase. We were significant participant on this program, which demonstrates the appetite of the private market for flood risk and which going forward could see considerable expansion. In 2017, we anticipate that our Property segment will be up slightly, with the growth in our property business more than offsetting the expected decline in catastrophe. We believe we can grow our other property business as our expanded platform and strategic approach to clients will continue to provide us new opportunities. Another area targeted for growth is our regional multi-line business where there continues to be significant opportunities. We see the significant portion of our property risk, which allows us to optimize our portfolio further even with deterioration in rates. After adjusting for retro purchase and the use of joint venture vehicles, we retain roughly half our gross written premium in the Property segment. As I have said before, this may look expensive in a low Cat environment, but we believe this is the right strategy for our portfolio. Within our Casualty and Specialty segment, we write various classes of business. These include traditional casualty lines such as general liability and professional lines. The casualty business written through our Lloyd's platform and the casualty aspects of our regional multi-line businesses. Casualty and Specialty also includes financial and credit business such as our mortgage reinsurance book and trade credit. Additionally contained in this segment are specialty lines such as marine, surety, terrorism and cyber. Previously our Specialty segment had certain proportional and per risk property business, which has been moved to the new Property segment for increased transparency. The Casualty segment now represents more than half of our business globally and has grown into a sustainable franchise that is core to our ability to meet client needs. For the year we grew our Casualty and Specialty segments almost 35% with growth coming across all of our platforms. This growth broke down to be about 25% growth in casualty lines, 50% growth in our mortgage book and 10% growth in specialty lines. There were three general drivers of growth for the year. The first driver was increased signings on existing programs, where clients look to consolidate their panels. The second driver was the writing of additional lines of business with existing customers. And the third was from specific strategic initiatives such as helping clients expand to new lines of business and developing a marine and energy book at Lloyd's. At the January 1 renewal, conditions were consistent with recent experience with rates declining slightly and terms and conditions generally remaining stable. Overall seeding commissions were flat, clients with attractive results probably got a little more seeding commission and conversely those with weaker results probably got a little less, which demonstrates that the market is showing discipline in response to seeding performance. In 2017 we believe there will be some opportunity for modest growth in our Casualty and Specialty segment. Although we do not anticipate the same pace of growth as we experienced in 2016. For example, given our leadership position we expect to be first call for new opportunities in the mortgage space. Much of our growth in this book however has come from legacy business. So future opportunities will be more constrained. It bears repeating however that due to the long-term nature of our mortgage book, the premium we have already written will continue to earn over several years. Another area of potential growth will be in marine and energy reinsurance at Lloyd’s we’ve been diligently building capabilities in this area and are hopeful that we’ll be able to grow this book. We also anticipate growth in our commercial multi-line business run out of our Chicago office and U.S. casualty business written out of New York. On the other hand we continue to monitor certain lines of business for signs of price competition such as DNO and the accident and health business. Similar to our Property segment, we executed our gross to net strategy in Casualty and Specialty with seeded purchases remaining fairly consistent during the quarter and for the full year. We currently seed approximately one-third of our premiums in this segment. While we find the Casualty and Specialty business attractive overall and diversifying to our portfolio we nonetheless make significant retro purchase on this book for three reasons. First, it helps us maximize shareholder value by enhancing our overall risk adjusted return profile. Second, it allows us to maintain our leadership lines such as mortgage as we can deploy larger limits. Finally, our gross to net strategy helps us transform risk income into fee income. We have seen significant demand for our Casualty and Specialty seeded programs, which we believe demonstrates strong market validation of our tools and capabilities in underwriting casualty and specialty. I was pleased with our team’s performance in the fourth quarter and throughout 2016 as a whole across both of our segments we continue to deepen our relationship with key clients and expand our seeded program to improve the capital efficiency of our portfolio. We also continue to leverage existing platforms and resources in order to manage expenses and optimize operational efficiency. Going forward we will continue to execute our strategy, maintain our underwriting discipline and drive growth in areas we find attractive. Thanks and with that I’ll turn it over to questions.
Operator: [Operator Instructions] Your first question comes from the line of Kia Pan from Morgan Stanley. Your line is open.
Kai Pan : Thank you and good morning. First question is on the -- Kevin you mentioned last year that some of the Atlantic Hurricanes might be over deal overtime, but then we had Hermine and Matthew and seems some of that losses was not big enough to really moving the pricing to the positive territory. I just wonder in your opinion what could turn the pricing?
Kevin O'Donnell: Really what a large hurricane can do is kind of ratify the normal system of capital within our business, our premiums are paid and returned to clients through losses. So I think what we need is some sort of shock loss in the system and it doesn’t necessarily mean to be of ex-size or in ex-location. It really is something that people are surprised to be paying. So it’s my belief that a much smaller New Madrid [ph] earthquake can have as a profounder market impact as a very large Florida Hurricane. So I think it’s really about just having more losses and more of our premium return to the buyers through losses or some other mechanism.
Kai Pan : Okay. And then on the capital management front you guys didn’t purchase any shares in the fourth quarter, but for the full year you actually returned more than you earned. I just wonder if that sort of 100% payout ratio still reasonable assumption for 2017?
Robert Qutub: Thanks Kai that’s a good question. As I mentioned before nothing has changed regarding our philosophy or approach to capital management. Our framework remains the same, we’ll always we’re allocating capital to the businesses where the opportunities make sense and returning capital to shareholders overtime when it’s appropriate. It is I think critical to remember that this is not quarterly or an annual event. But a long-term commitment it takes into account how our businesses evolving overtime and timing will depend on a number of factors including business opportunities. I would say the profile of our company as well as liquidity profile. Regarding guidelines for returning capital, we don’t have a set dollar or calendar or targets for returning capital, nor do we have really an operating benchmark that we would action against. As indicated last quarter we do take in consideration net income available to shareholders, but that’s just one of many factors we got to consider. Let me close with a fact there is no single metric we use to benchmark our capital levels as you look back over our history you’ll see that we’ve demonstrated that we’ve really been good stewards of our capital and returned over $1 billion over the last three years.
Kai Pan : Okay, that’s great. Lastly if I may it’s a marker question like on U.S. tax reforms, some argue that U.S. insurers tax rate could go lower, but some of the global offshore insurance companies tax rate could go higher. What's the potential implication for RenaissanceRe?
Robert Qutub: Look there is a lot of -- as Kevin mentioned there is a lot going on in the legislation in the U.S. There is a much discussion and we would have to say there is a lot of uncertainty, but we've been watching this very close keeping an eye on what's happening with Ryan Bill [ph] all of those things their moving parts. And as you’ve seen there is a lot of volatility. But what I will say is we have comfort in our platform that gives us a lot of flexibility and we'll react accordingly as we see that.
Kia Pan: Great well thanks so much.
Kevin O'Donnell: Thanks, Kai.
Operator: Your next question comes from Amit Kumar of Macquarie. Your line is open.
Amit Kumar: Thanks and good morning and congrats. Maybe a couple of quick follow ups and then I'll re-queue, just going back to the broader discussion on cross-border taxation. Yes, it's too early days in terms of what's going to happen, but if you were to sort of you know think this through and talk about the planning, do you think that RenRe is obviously the company is more -- is would be able to address any potential changes in terms of redomiciling operations. Or do you think you'll be taking pricing action at that point if some sort of tax reform does go through.
Robert Qutub: There is a lot of broad things to consider. And I hear what you are saying. We're looking at all of these different sort of perspectives that we continue to hear in the market. We do have a flexible platform, we do have the ability to make adjustments to react accordingly. And yeah in some scenarios you do see that there could be significant impact to the end consumer. But these are all things that are being drawn out in the scenarios that are out there. And it is too early to make a call, but there are a lot of things being circulated that could have in some cases significant impact in other cases not as much.
Kevin O'Donnell: Just to amplify Bob's comments, I feel really good about the investments we've made over the last several years, which have been strategically important for our business, but investing in the U.S. platform and continuing to grow the Lloyd's platform Singapore and other things provide additional flexibility to the platform, which will serve us well going forward.
Amit Kumar: Got it yes, that's I guess that's what I was looking for. The second and final question also goes back to the broader discussion on capital management. Assuming the tax discussion heats up over the next few months, could there be a likelihood that you'd probably take your foot off the gas paddle at that time and say let's see how this situation evolves. Or is that a separate discussion based on your excellent capital strength? Thanks.
Robert Qutub: Going back to when I said I'll give Kevin an opportunity to say couple of comments here, but really look that our framework hasn't changed. We still are looking at buybacks as our means of returning capital. And you're right there is a lot changing in Washington in the U.S. administration has a lot of volatility where it lands could have an impact or not have an impact on how we look at our deployment of capital. Too early to tell, again we're going to sit back and watch and still proceed to return capital overtime not really set against any benchmark. Kevin if you want to add anything?
Kevin O'Donnell: I think that's exactly right Bob. I think you're focusing on and a very important variable which is what the legislative changes may be and how they can affect us. That is singular component of how we think about deploying capital and managing capital and it may inform how we ultimately invest in our business. But the process that we have first deploying into our business and then thinking about ways in which we can return excess capital to shareholders is exactly the way we'll approach it. And an important component of that will be legislative changes with the new administration.
Amit Kumar: Got it, that's helpful I'll stop here. Thanks for answers and good luck for the future.
Kevin O'Donnell: Thanks.
Operator: Your next question comes from Elyse Greenspan Wells Fargo. Your line is open.
Elyse Greenspan: Hi thank you. Few questions, first off Kevin in your remarks you mentioned when you were talking about the January 1 renewals that you guys found opportunities to grow in Cat and other property. But then you also in your kind of full year comments you talked about a decline in catastrophe. Am I not tying those two thoughts together or did you grow at January 1 and you expect the Cat business to decline as we move throughout the year?
Kevin O'Donnell: I think that's exactly right. We did see a couple of opportunities, which allowed us to expand our catastrophe writing at 1/1 I think the guidance I’d point to is our belief is over the course of 2017, our Cat book will be down, but less than the 5%, it was down from last year. So that means that going forward we do anticipate continued rate pressure and possibly some reduction by us. Offsetting that though is we think we have increasing opportunity in our other property business. So I think our Property segment will be up marginally, but it will be kind of a yin and yang with property Cat down and other property being up slightly.
Elyse Greenspan: Okay, thank you. In terms of share repurchase, just another question, is there a certain valuation where you guys take a pass on repurchasing stock? And then also as you guys have slowdown on the share repurchases I mean we haven’t seen any repurchase since the summer, is, do you think in a way or are you also holding some capital for potential M&A. I mean how do you balance, where your stock is trading versus kind of holding onto capital for M&A opportunities down the road.
Robert Qutub: Yes, thanks Elyse, it’s a good question. I’ll go back to kind of serve our response to Kai and looking at really nothing has changed in what we've -- our framework on how we look at allocating our capital. The first order of allocation is going to be to the development and growth of our businesses, we’ll look at that, we return excess capitals, but we've got many things to consider out there. We don’t look at the metric, the share prices are important but also a lot of other things are important and what we are being able to deploy into the business, what’s our risk portfolio. So just a lot of factors Elyse we look at, and again no set benchmark and we feel that overtime we've been a good steward of our capital as I mentioned to Kai we’ve returned over $1 billion over the last few years.
Elyse Greenspan: Okay. And then if I look at the total casualty and specialty kind of current accident year combined ratio backing out the reserve releases, you guys are running above 100, I guess about 110 for the fourth quarter, 105 for the full year, as we think going forward that book will grow somewhere, but how do you think about some margin profile, and what kind of combined ratio you want to -- do you envision that book running at either in ‘17 or just overtime?
Robert Qutub: Well, thanks for the question it’s a good opportunity to give some comments out there on this, this is a casualty and specialty is you look at it is a longer tail business that’s out there, it takes longer and looking at in the quarter or a single year timeframe is probably not the best perspective to look at it. What we look at it is the longer tail aspect, the attritional nature of it, some of these pan out over years. Obviously we think, we feel good about the book and on a current accident year, you can see on a full year basis kind of what you want to look at on a relative basis it’s down about a point, when you think about it in that context. But again this is something that takes time to develop and we really haven’t seen any trends at this point.
Elyse Greenspan: Okay. And then one last question if I may, as we think about just higher interest rates what’s the delta between the new money yields in your portfolio yield and how do you think -- do you think we can see given the rise -- the recent rise we've seen interest rates a little bit stronger investment income in 2017?
Robert Qutub: That’s a great question, Elyse. Here is how I kind of look at it, when I think about the investment portfolio and some of my comments just reflecting back when I said, couple of sort of data points is that, we ended the year 2.1% yield, it was 1.8% in the third quarter, so that started ticking up. And you got to remember we do really have a very liquid portfolio duration 2.4 years nearly 90% is in shorter fix maturity and liquid security. So it gives us a lot of flexibility that we have out there. So with that being said, I feel good about our prospects for 2017, our ability to adapt to where the market may take us and we also have a strong equity portfolio as well too.
Elyse Greenspan: Okay, thank you very much.
Operator: And your next question comes from Quentin McMillan of KBW. Your line is open.
Quentin McMillan: Thanks very much guys. I just want to touch on the overall underwriting, it looks like the accident year combined ratio to the core margin was down about 450 bps and that’s coming obviously from the two factors of both price declines, as well as the mix shift to the portfolio towards the specialty and casualty. And I was wondering if you could help us in 2016 sort of how much of that maybe came from one bucket versus the other on kind of a broad brush statement and secondarily and kind of connected with that how far along are we for that drag for casualty and specialty before that starts to sort of normalized.
Robert Qutub: Can I ask just as a clarification not sure what do mean by the drag on the casualty and specialty normalizing.
Quentin McMillan: Sorry what I mean is the combined ratio of that business is naturally going to be higher than the run rate expected combined ratio is naturally higher than your property Cat portfolio. So, I’m talking about sort of the drag as the mix shift moves more towards specialty and casualty are we at sort of a study state now with the portfolio being 50-50 or could there be some more drag in the first half or even through 2017?
Robert Qutub: Okay. Let me just kind of frame how I think about our combined ratio and then I’ll try to zero-in a little bit on the questions that you have. So, starting with property, our Property segment loss ratio or combined ratio will increase that is -- our property cat as it’s normally been and that's going to be really reflective as to whether there is events or not. But on the other property line there will be attritional losses, which will come in as a component of the overall segment and it will be transparent, but it will be something that will change the combined ratio on that side. Going over to casualty and specialty, breaking it down for the combined ratio between our underwriting expense and our loss ratios, I look at our loss ratios are being reasonably consistent overtime, I’m pleased with the way the triangles are develop and I’m not seeing any trends that are alarming. On the acquisition cost, acquisition costs are relatively elevated but reasonably flat. So looking at it from that side I think it’s reasonably stable. The second question you are asking is to an optimal combination between how much property and how much casualty and specialty. We don’t have an optimal target for that, we are confidently looking at how it has changed the profile over business an important component of that balancing is seeded. So for many, many years we’ve been active in capital management on our property Cat business and increasingly we’re active in capital management through seeded and other protections on our casualty and specialty business. So it’s a little bit more of a convoluted way to think about it. But we think it’s the appropriate way for us to structure our portfolios, there is no target mix. Our combined ratio will rise for the reasons I talked about and it’s an outcome, but we feel good about that book knowing the fundamentals beneath that are different than property Cat.
Quentin McMillan: Okay. It’s really helpful, thank you. Secondly, just for clarification in terms of your reporting structure you guys are going to continue to report both property Cat and property other going forward or will property other sort of disappear eventually and it will just be sort of the Property versus Casualty and Specialty segment reporting?
Robert Qutub: I think that's a good question as we laid out earlier, when we talk about this right now, we’ve got our property which includes property other and catastrophe because if you go back to third quarter call when we talk about this, we committed to showing catastrophe as a separate standalone given the significance of it and we also committed to for a period of time showing the Lloyd’s platform and that's in the supplemental disclosures that you can see in what we’ve distributed yesterday.
Quentin McMillan: So it will be one bucket eventually?
Robert Qutub: No, that's not what I said. I said we look at -- we committed to showing catastrophe separately from other property as part of the segment.
Quentin McMillan: Okay, great. And just sort of any other property it looks like the loss ratio and just the loss cost, which elevated and obviously part of that I think was probably coming from Hurricane Matthew could you help us how much of Matthew of the $50 million was bucketed into property Cat versus property other because the loss number looks fairly elevated in 4Q just on a modeling question.
Robert Qutub: I mean most of as you would expect most of our losses on Matthew would have been reflected in the catastrophe side of the property aspect. There is a little bit I talk about that spills over into property and then casualty and specialty, but we are talking about the majority 90 plus percent was in the catastrophe side.
Quentin McMillan: Then is there a reason that $36.5 million of losses in property other it just seems like a higher number versus the run rate of that segment for what you gave us in the 8-K?
Kevin O'Donnell: I believe most of that’s actually the attritional. The other thing to look at is what we are writing in that other property book is exposed to per risk losses, so there some activity there. But also with the regional book we’re writing into the Chicago offices is not necessarily Matthew, but it could be the Southeast Tornado outbreaks the Oklahoma earthquake it could be smaller Midwestern event that is probably more likely to impact that and then some of the Florida events. The per risk in the proportional books written elsewhere might have more Florida, but the Chicago book will be more Midwestern.
Quentin McMillan: Great, thank you very much guys.
Operator: Your next question comes from Josh Shanker of Deutsche Bank. Your line is open.
Joshua Shanker: Good morning, everyone.
Kevin O'Donnell: Hey Josh.
Joshua Shanker: Hi there. So I was just trying to understand the preferred share issuance in Upsilon and is that a netting out of capital or netting in of capital?
Kevin O'Donnell: Yes there is a lot of movement in the disclosure of our capital coming in and out of Upsilon. The net result for us going into ‘17 is Upsilon is bigger than it was in ‘16 but not as big as we’ve had it at different times in the past.
Joshua Shanker: And with the combination of Upsilon plus Fibonacci are you materially larger than you were one year ago or you’re in the same zip code, can you sort of frame how much capital you’re working with compared to a year ago?
Kevin O'Donnell: Yes, one let me comment, I think there’s one opportunity over the course of the year for both Upsilon and Fibonacci right now I would say we’re between 200 and 250 up on those two vehicles in a ballpark range, about committed capital to the vehicles.
Joshua Shanker: And can you describe a little bit the different appetites of each of those vehicles?
Kevin O'Donnell: Sure Upsilon is a vehicle we’ve had for several years, it was originally targeted to write capital intensive retro at reasonably exposed levels. It has morphed in size and it’s morphed in appetite, it is still more directed towards retro, but it participates higher up in the capital stack hence the reason for our shift in appetite. Fibonacci Re is something when we were speaking to our clients we realized that they had increased appetite for high quality top-end cover. So we were able to put together a vehicle to bring that capacity to them mostly in contemplation or in complement to large participations within RenRe Limited. And actually importantly Upsilon Re is worldwide and Fibonacci is U.S. only.
Joshua Shanker: And Fibonacci I guess is publicly traded as well?
Kevin O'Donnell: No it’s not, I’d say private placement behind it.
Joshua Shanker: Okay. Because I said it sounds the Bermuda Stock Exchange I was trying to understand exactly how that capital works there?
Kevin O'Donnell: It’s 144 A note.
Joshua Shanker: 144 A notes okay. All right thank you for all the detail. Appreciate it.
Kevin O'Donnell: Sure, thanks.
Operator: Your next question comes from Brian Meredith of UBS. Your line is open.
Brian Meredith: Yes, thanks a couple of questions here for you. Kevin does any of the M&A that’s happening recently had that having any impact on your ability to kind of get additional share on programs was that a contributing factor at all?
Kevin O'Donnell: It’s hard to point to specific wins from that, but what I would say is, has our customers consolidate, I think they’ve become a lot more sophisticated in thinking about the synergies with their books and how they’re managing their placements. With that it leaves to two things, one they want to consolidate their panels with people who can add value beyond capital; and secondly, they want to trade with people on a more composite basis. So with the changes that we’ve made I think we’re in better position to continue to serve them. So net-net I think it’s probably a benefit we do obviously look for opportunities to take advantage of the fact that we’re only a reinsurer and not competing with them as many of these are around the insurance businesses, but it’s hard to point specifically to wins.
Brian Meredith: Great. And then next I'm just curious you mentioned opportunities in the marine and energy market kind of getting some growth there in marine and energy reinsurance market. My understanding is pricing has probably stabilized in that market, but still at pretty low levels. Why do you track of this at this point? There’s plenty of capacity there too.
Kevin O'Donnell: I agree with all your observations. I think we are not looking to write an index of the marine and energy market. We’ve built good tools, we have good relationships looking to come in, in a pretty targeted way and we’re coming in with our eyes wide open. There’s full recognition particularly on the insurance side it’s a very competitive market and a lot of that translates to the reinsurance side. I do think there is some opportunities there and we’re going to leverage into it slowly.
Brian Meredith: Great. And then just last question, historically you actually provided with the credit part of the specialty and casualty businesses are you going to provide that going forward or you not and could it be easier from modeling purposes to that?
Kevin O'Donnell: It’s a good question it kind of stems back to how we manage the company and the segments. Well there is several classes of product lines like credit. We really don’t manage them separately and the fact of the matter is they have similar characteristics. But and separating them kind of from a fully loaded basis it would be inconsistent with how we look at it. But now having said that we are planning to have a further premium breakdown in our K that gets filed later this month.
Brian Meredith: Great. Just because the earned premium part of that can make it a little complicated lumpy all in, thanks.
Kevin O'Donnell: Yes.
Operator: Your next question comes from Ian Gutterman of Balyasny. Your line is open.
Ian Gutterman: Hi thank you. I guess first if I could just follow-up on this Fibonacci question, will it -- for a financial reporting will it look similar to Upsilon and that will supposed to be a sort of manage Cat if you will gross and most of it comes out net other than -- or will look different than Upsilon does it maybe look more like DaVinci?
Kevin O'Donnell: My understanding is Fibonacci is not consolidated. I think it will look a little different.
Robert Qutub: Yes it's a variable interest, but we don't have a controlling interest. So it will not be consolidated.
Ian Gutterman: So therefore like Upsilon rose will seed a manage Cat or not even there?
Robert Qutub: No we won't be reflecting it as a manage Cat.
Ian Gutterman: Okay. So it will show up like other income as a fee income or something? How will we see how you making money is I guess what I'm asking.
Robert Qutub: We'll be getting -- we are getting fees for servicing it and providing the management fee.
Ian Gutterman: Okay. So that will be outside of underwriting income and it will be in the fee income line?
Robert Qutub: Yes.
Ian Gutterman: Okay, got it. And then you mentioned you took a big churn in the NFIP program, I was hoping you could talk a little bit more about that. I guess very little bit I've read about that standing like frankly the rate online wasn't that great because it was sort of the first time out. And it's may more about building something down the road, but it didn't sound like the returns on that were so hot. Is there anything you can clarify on that?
Kevin O'Donnell: Yes I think firstly I'd like to just point out that I think it's fanatically good for risk to reside in the private market. Because the conversation we're having now is a really important conversation, which is, is it priced appropriately for the risk being seeded. I think for that type of risk against the capital that we have it was appropriately priced. I do believe it will grow overtime, and I believe the input and the exchange between the private market, the FMI [ph] and the NFIP will be extremely valuable and how to think about setting appropriate actuarial rates going forward.
Ian Gutterman: Okay. Is it fair to say it's probably a higher combined ratio than typical Cat?
Kevin O'Donnell: I think there is two pieces to that question, is what is the standalone return and what's the marginal return, marginally within our portfolio I can say it looks great.
Ian Gutterman: Sure that make sense, okay. And then my other one is on the tax, hypothetically as you said there is a lot of different ways this can play out. But if there were an outcome that made it worth your while to write more business on your U.S. paper, how difficult it is I mean obviously I assume a lot of that you probably keep as little capital in the U.S. today as you can and keep more of it in Bermuda. How easy would it be to restructure that to put more capital onto the U.S. and are there any costs of doing that?
Kevin O'Donnell: I -- so there is a couple of questions there. Firstly we've got a fully functioning platform in New York. And we're proud of the fact that we recently we were upgraded with our U.S. based balance sheet. So we have a lot of flexibility as to how to underwrite business there. Your second question is how do we put together our capital structure that's optimal. I think a lot of that is going to need to be determined depending on what is changing within the tax goes in the U.S. over the next several months. I think we're in a very good spot to be able to think about it. And I'm delighted on the investments we've made over the last 12 to 18 months about building out the U.S. platform.
Ian Gutterman: Got it. And do you have handy or if not will it be in the K how much capital is in the U.S. at year end?
Robert Qutub: No, we don't tend to carve that out separately.
Kevin O'Donnell: Yes if it's in the yellow book, it's in our market materials, we've got about $500 million on our main balance sheet in the U.S.
Ian Gutterman: Okay, thank you.
Operator: Your next question comes from Jay Cohen from Merrill Lynch. Your line is open.
Jay Cohen: Yes most of my questions were answered. Just have a follow-up on an earlier question on the rise in interest rates, can you guys specify what new money yields look like relative to your portfolio yield right now?
Robert Qutub: Yes, thanks Jay. I think that something I can get back to you on. Seeing that written up before and just given the notice here I want to get comfortable for us, but let me get back to you on that one. I do feel good about where the portfolio is positioned take advantage of rates and where they are at right now. For short duration two points or we got very liquid, short maturity portfolio. So I see it as a pretty good ability to adapt into 2017.
Jay Cohen: Great. I love those numbers hoping you get a chance later. Thank you.
Kevin O'Donnell: Sure.
Operator: And your next question comes from Sarah Dewitt of JP Morgan. Your line is open.
Sarah Dewitt: Hi, good morning. I wanted to ask a question about the demand for reinsurance longer term. If U.S. corporate tax rates were flat the spread between a primary insurer’s tax rate and a Bermuda reinsurer’s tax rate would be more narrow, would that make reinsurance a relatively less efficient vehicle and less attractive on the margins?
Kevin O'Donnell: I think there is a lot of speculation that we have to make to kind of math out a full scenario in general I don’t think that’s the case. I think one reinsurance provides a lot of advantages beyond just tax and earnings. I think the way I would look at it is something we’re going to have to solve overtime, but it’s not. I don’t look as the tax rate between insurance and reinsurance as a dating issues to whether the demand will rise or fall.
Sarah Dewitt: Okay. So you wouldn’t expect any incrementally less demand on the margin?
Kevin O'Donnell: I think a lot of it’s going to depend really on what happens, but I don’t think tax rate when people are looking at their top five reasons to buy. I'm not sure that they’re looking at the relative spread between the tax rates as one of the important elements of it. I do think there’s potentially if there’s more tax generally in the systems there’s more expense in the system, but that will be uniformly applied whether it’s insurance or reinsurance.
Sarah Dewitt: Right, okay great. Thank you.
Kevin O'Donnell: Sure, thanks.
Operator: And this concludes today’s Q&A portion of the call. I’ll now turn it back over to Mr. O’Donnell for some brief closing remarks.
Kevin O'Donnell: Thank you everybody for participating in today’s call. Before I close I'm sure many of you’ve seen the news that Todd Fonner will be leaving us on March 31st. Todd joined us shortly before the September ‘11 terrorist attacks and he has been a great contributor from the very beginning. He has advanced our thinking beyond just investments in the treasury bunch where he is mostly dedicated his time and as always been willing to help in areas around the company. I will miss Todd and I wish him nothing, but continued success and future happiness. And with that I’d like to say thanks again and look forward to speaking to you in a couple of months.
Operator: And this concludes today’s conference call. You may now disconnect.